Operator: Good morning, and thank you for joining us today for Concentra Group Holdings Parent, Inc. Earnings Conference Call to discuss the Second Quarter 2025 Results. Speaking today are the company's Chief Executive Officer, Keith Newton; and the company's President and Chief Financial Officer, Matt DiCanio. Management will give you an overview and then open the call for questions. Before we get started, we would like to remind you that this conference call may contain forward-looking statements regarding future events or the future financial performance of the company, including, without limitation, statements regarding operating results, growth opportunities, and other statements that refer to Concentra's plans, expectations, strategies, intentions and beliefs. These forward-looking statements are based on the information available to management of Concentra today, and the company assumes no obligation to update these statements as circumstances change. At this time, I will turn the conference call over to Mr. Keith Newton. Sir, you may begin.
William Newton: Thanks, operator. Good morning, everyone. Welcome to Concentra's Second Quarter 2025 Earnings Call. We are pleased to report on a strong second quarter, sustaining the momentum we had in the first quarter of 2025. In Q2, we saw accelerated growth in visits across both workers' comp and employer services, even after excluding the impact of the visits in the centers acquired in the Nova transaction. We had another quarter of mid-single-digit year-over-year rate increases. With this strong growth on both volume and rate, we had a high single-digit revenue growth, excluding Nova. In addition, we successfully completed the integration and rebranding of our acquired Nova occupational health centers. We opened an additional occupational health center de novos site in Chattanooga, Tennessee, bringing us to 4 de novos opened so far this year with 2 to 3 additional anticipated by the end of the year. We closed on the Pivot Onsite Health Clinic acquisition on June 1, which doubles the size of our on-site health clinic segment and brings Concentra to over 1,000 combined occupational health center and onsite health clinic locations across the country. The integration of Pivot is well underway and on track. Additionally, we expanded our Board of Directors and added 2 new directors, Brigid Bonner and Vipin Gopal effective July 1. Brigid and Vipin bring a wealth of experience across the customer experience, digital transformation, data analytics, and AI spectrums, and we're thrilled to gain access to their unique skill sets and knowledge base with their decades of experience at companies like Eli Lilly, Walgreens, UnitedHealth and IBM, we expect them to contribute meaningfully to our future success. I'll touch on some of the key financial highlights from the quarter, and then we will get into more details. As with the last quarter, we will continue to report certain metrics, both including and excluding the impact of our larger M&A so that people have a good sense on how the core business is trending. I would note here at the outset that we had the same number of revenue days in Q2 2025 as Q2 2024, so there is no need to adjust the prior year comparisons for days. Total company revenue was $550.8 million compared to $477.9 million in the prior year, representing a 15.2% growth year-over-year. Excluding contributions from Nova, revenue was $519.4 million, resulting in an 8.7% increase over the prior year. Total patient visits increased 9.5% in the quarter to approximately 55,000 patient visits per day. Our workers' compensation visits per day increased 9.3% and employer services visit volume increased 10.3% relative to the prior year. Excluding the impact from the acquisition of Nova, total visits per day increased 2.4%. Workers' compensation visits increased 3.2%, a notable acceleration over Q1 growth and employer services visits increased 2%, also better than Q1 results. A solid quarter across the board from a volume standpoint as work comp volumes rebounded from a softer Q1 and employer service visits continued the reversal in positive growth territory we have seen since the beginning of the year as we move to more normalized levels. We had another strong rate quarter with an approximately 4.4% increase in revenue per visit this quarter versus the same quarter prior year. This growth was driven by a 5.4% increase in workers' compensation and a 3.1% increase in employer services revenue per visit. Adjusted EBITDA was $115 million in the quarter versus $101.6 million in the same quarter prior year or a 13.2% increase. Adjusted EBITDA margin decreased from 21.3% in Q2 2024 to 20.9% in Q2 2025, primarily due to some favorable items impacting cost of services in the prior year, also some onetime Nova transition costs this quarter, along with incremental Nova G&A expense that wasn't synergized through the full quarter and other G&A cost increases in the current year that Matt will touch on shortly. Overall, we are pleased with the company performance and our continued growth. Adjusted net income attributable to the company was $47.7 million and adjusted earnings per share was $0.37 for the second quarter 2025. As with the last few quarters, net income was lower than the same quarter prior year, primarily due to an increase in interest expense resulting from the IPO recapitalization. Adjusted EBITDA and adjusted net income reflect the add-back of transaction expenses related to our acquisition activity as well as onetime costs related to our separation from Select Medical. Now before I turn it over to Matt for additional information, I'd like to briefly comment on the significant progress we have made during the second quarter as it relates to our Q1 Nova Occupational Health Center acquisition and the related integration efforts. The June 1, Pivot Onsite Health Clinics acquisition and our continued Select Medical separation efforts. We are incredibly proud of our team's efforts to manage these major initiatives and continue to achieve our goals on the time lines we established. Matt will share more details, but everything is on track, and we are pleased about where we will be when all 3 are completed. Now I'll hand it over to Matt to provide additional details on our financial results, capital allocation strategies, and growth efforts.
Matthew DiCanio: Thanks, Keith, and good morning, everyone. I'll start by going through some more details on our results in our 3 operating segments. In our Occupational Health Center operating segment, total revenue of $516.1 million in Q2 2025 was 14.4% higher than the same quarter prior year. Workers' compensation revenue of $332.2 million in Q2 2025 was 15.2% higher than prior year. As Keith mentioned, work comp visits per day increased 9.3% from prior year and work comp revenue per visit increased 5.4% versus prior year. Work comp revenue per visit was $209, similar to our work comp rate last quarter. Within employer services, revenue of $174.3 million increased 13.7% from prior year. Employer services visits per day increased 10.3% from prior year and employer services revenue per visit increased 3.1% versus prior year. To help isolate from our Q1 acquisition of Nova, here are the same stats excluding the impact of Nova. Total revenue within the Occupational Health Center operating segment was $484.8 million, a 7.4% increase over the prior year. Total visits per day increased 2.4% over the same quarter prior year. Revenue per visit increased 4.9% from $140 in Q2 2024 to $147 in Q2 2025. Workers' compensation revenue of $314 million in Q2 2025 was 8.9% higher than prior year. Workers' compensation visits per day were 3.2% higher than prior year and work comp revenue per visit was 5.5% higher than prior year. Within Employer Services, revenue of $161.8 million increased 5.5% from prior year. Employer services visits per day were 2% higher than prior year and employer services revenue per visit was 3.4% higher than prior year. The most notable takeaway from the quarter was our solid volume growth, both compared to Q1 and also compared to Q2 of last year. Excluding Nova, year-over-year visit growth for work comp accelerated from 0.2% in Q1 to 3.2% in Q2, and employer services went from 0.9% in Q1 to 2% in Q2. We had spoken before about the softer work comp volume number in Q1, and we did, in fact, see a much stronger number in Q2. We are also pleased to see the continued positive growth trend and slight acceleration for employer services. Work comp and employer services visits can bounce around a little bit, but growth tends to be in the low single digits over time. We'll add more commentary later in our remarks, but we think our Q2 visit trends are a pretty good indicator of the broader economy. We are not seeing any slowdown based on the data we look at every day that covers employers of all sizes, industries, and geographies. Moving on from our occupational health centers. Our onsite health clinics segment reported revenue of $22.6 million in Q2 2025, a 45.2% increase from the same quarter prior year. Excluding the 1-month impact from the Pivot Onsite acquisition that closed on June 1, onsite segment revenue grew 9.9% year-over-year. So overall, a nice quarter as it relates to our core on-site performance and obviously, a major milestone adding the Pivot Onsite to our portfolio. A quick reminder for everyone. We do not report visit metrics for our on-site business given the nature of the revenue model. And finally, other businesses generated revenue of $12.1 million, an 8.5% increase against same quarter prior year. Now switching to expenses. Cost of services was $389.3 million or 70.7% of revenue in Q2 2025, down from 71% of revenue for the same quarter prior year. We realized a nice decrease here, primarily driven by better staffing efficiencies in conjunction with the strong revenue growth. And this improvement would have been even better if not for approximately $750,000 of onetime costs related to the Nova and Pivot transitions that are not adjusted out of adjusted EBITDA as well as several favorable adjustments in the prior year. Overall, our labor costs continue to be stable, trending approximately 3% higher than prior year, which is a consistent theme for us over the years. Our teams are doing a great job managing staffing to the visit volumes, and we have made good progress filling open positions. We want to emphasize this point as labor dynamics have not historically been an issue for this business model. Our total general and administrative expenses were $52.9 million or 9.6% of revenue in Q2 2025 compared to 7.7% of revenue in the same quarter prior year. This comparison is not apples-to-apples, though, as we have expenses in Q2 of this year that we did not have in the prior year before we were a public company and separated from Select Medical, and we also have some acquisition-related expenses here related to Nova and Pivot. Excluding items that are added back for the purposes of calculating adjusted EBITDA, including equity compensation expense, onetime Select separation costs and M&A transaction costs, G&A expense was $46.6 million for the quarter or 8.5% of revenue compared to 7.8% of revenue in the same quarter prior year. The increase was largely driven by incremental Nova G&A expense that wasn't synergized through the full quarter and planned increases in personnel costs related to becoming a public company and our ongoing separation from Select Medical. The overall adjusted EBITDA margin in Q2 2025 was 20.9% compared to 21.3% during the same quarter prior year. To reiterate, the primary drivers of the slightly lower margin are some favorable onetime cost of services items from prior year, certain onetime Nova and Pivot integration expenses totaling approximately $750,000 that are not adjusted out of adjusted EBITDA, incremental G&A expense from Nova that was not fully synergized through the entirety of the quarter and the planned increase in personnel-related public company and select separation costs. In Q2 2025, we generated $88.4 million in operating cash flow. It was a nice cash flow quarter for us, driven primarily by our financial performance, but also due to the timing of payroll and other payables at quarter end. Investing activities used $79.5 million of cash in the second quarter, predominantly driven by the Pivot acquisition closing on June 1. Also included in this number is $25.2 million of CapEx with approximately $18 million of that from our normal course capital program for upgrading and maintaining existing facilities, de novos and technology investments and approximately $7 million of onetime CapEx associated with our Nova Center integration and rebranding efforts. Financing activities resulted in net cash inflows of $12.9 million for the second quarter, primarily due to our revolver draw of $35 million as part of the Pivot acquisition, partially offset by 2 quarterly dividend payments that both fell into Q2. We ended the quarter with a total debt balance of $1.67 billion and a cash balance of $74 million. Our net leverage ratio per our credit agreement at the end of June was 3.8x. We found that some investors are not including the annualized impact from our recent acquisitions in their leverage calculations, especially if doing a quick screen on Bloomberg or other sources. So we felt it was important to call this out. For the remainder of this year, we will be focused on continuing our delevering path while we look to fully integrate Nova and Pivot and continue to make progress with our separation from Select Medical. The second half of the year is our strongest cash flow period, especially Q4 with collections coming in from the highest volume months. Now switching to our growth efforts. With respect to the integration of Nova, we are progressing well and now have all centers converted to Concentra systems, processes and signage as of the end of July. We expect this to drive both increased top line growth and operational efficiencies going forward. As we've mentioned, we incurred material conversion costs, which occurred in May, June, and into July that impacted our cost of services and were not added back to adjusted EBITDA. We expect to see these costs decline significantly going forward. Our teams are now focused on growing visits and adding additional services. We expect this will take some time like other acquisitions in the past, but we are confident in the team's ability to do so. As it relates to our cost synergies, through the end of Q2, we estimate that we have captured just over 70% of our planned operational and back-office synergies, which is right on track with our original underwriting. The remaining 30% will be systematically executed through the remainder of 2025 and into Q1 2026. Overall, this acquisition is tracking well, but more work to do before we are fully integrated and closer to run rate performance. On the de novo front, we opened one location in Chattanooga, Tennessee in Q2 2025 and have 2 or 3 more locations planned for the second half of this year, depending on some construction variables. With respect to 2026 activity, to date, we have executed or are close to executing 5 new leases and have a number of other active targets that are candidates for opening in 2026. In general, we continue to identify a lot of white space across the country with high workplace injury density and little to no existing Concentra footprint. So we have a good opportunity to continue to accelerate our de novo activity. We also have a pipeline of small bolt-on M&A deals that we intend to pursue in parallel with our de novo strategy. I'd like to reiterate that both de novos and bolt-on M&A are down the fairway for us given our average run rate build and acquisition multiples of less than 3x EBITDA over the past decade. We will continue to execute on this corporate development strategy in concert with reaching our leverage targets on our projected time line. We do not expect any larger acquisitions for the remainder of this year. Lastly, on the growth front, we are excited about the closing of the Pivot Onsite acquisition on June 1. Integration efforts are underway, but mostly focused on combining the 2 G&A teams. No changes at the on-site location level like we had with the Nova integration efforts. As previously stated, this is a deal that enhances our ability to compete in the broader on-site space, where we now view ourselves as a top 5 player in terms of scale. We've onboarded a number of new leaders that are going to be integral towards growing the business going forward, and we have a robust sales pipeline of both occupational health and advanced primary care opportunities that should set us up nicely for continued organic growth into next year. Longer term, we expect additional on-site acquisition opportunities to continue to arise, including advanced primary care focused platforms as we look to meaningfully grow our onsite segment. Finally, last note on capital allocation. We are pleased to announce a continuation of our dividend this quarter with Concentra's Board of Directors declaring a cash dividend of $0.0625 per share on August 6, 2025. The dividend will be payable on or about August 28, 2025, to stockholders of record as of the close of business on August 21, 2025. So now back to Keith to comment on a few important topics, most of which are popular topics we are asked by investors and research analysts.
William Newton: Thanks, Matt. Overall, many positives to the quarter and a solid first half for 2025. We're pleased about the opportunities ahead in the second half of the year and 2026. As Matt mentioned, I want to take a few minutes and cover a couple of topics and questions that come up periodically. I'll start first on our visit trends, their correlation to economic indicators and what we're seeing as it relates to the job market. As we've discussed before, we track total employment and hiring and quit rates, but many variables are included in driving our visit volumes. Our work comp visit growth rates quarter-by-quarter will move around a bit for a variety of reasons. But over time, we expect to see low single-digit growth rates. It was good to see a stronger quarter in Q2. Our Employer Services visit growth rates have now been positive for 2 quarters in a row. We believe this is a solid indicator of the health of the labor market and broader economy. We are not seeing any indication of slowdown from what we have been recently been experiencing as we monitor our visit trends on a daily basis. There are some shifts in industry mix, but no extended trend, either positive or negative in any industry we serve. If anything, we're seeing more stability now than we have in more recent quarters. We've shown in the past that we can navigate well through any ups and downs in the broader economy. A recent example is how we grew EBITDA through many quarters of negative employer service visit declines. We want to emphasize this point as employment and hiring trends are important to us, but we have many other variables such as reimbursement increases and staffing controls that limit our exposure to economic swings. Secondly, we're getting some questions about how the recent legislation or the big beautiful bill impacts us as a company. As we've mentioned in the past, our industry is very unique in the workers' compensation fee schedules are governed by each individual state and employer service pricing is set by us with market pricing adjustments each year. For workers' comp, each state has its own fee schedule and the calculation of that fee schedule varies from one state to the next. Each state sets the fee schedule for their particular state, but are not the entities making the payments to providers, so it does not impact or relate to their specific state budgets. Because of this, most of the time, we are not impacted by federal legislation. With the recent legislation, there is one item of note that will impact us in a favorable way in 2026. It's primarily tied to the 2.5% Doc Fix provision. There are four states: California, Ohio, North Carolina, and Tennessee that utilize the conversion factor component of the Medicare physician fee schedule as one component of their calculation each year in adjusting their workers' comp fee schedules. These 4 states will see that 2.5% conversion factor increase as part of their fee schedule updates. We will benefit most from California as is one of our largest states and also because California has an MEI inflationary adjustment as another component of its fee schedule calculation that will be incremental to the Doc Fix increase. It's still early, but we're expecting another strong rate year in 2026. We'll continue to track other state changes and we'll likely have more information later this year on how 2026 is shaping up. Overall, we want to emphasize how unique our reimbursement environment is and how federal changes are unlikely to impact us unlike other healthcare service companies. Lastly, this legislation has some tax and depreciation regulation changes that while not impacting our overall effective tax rate, will help us in a material way from a cash flow standpoint by over $15 million in 2025 and about 1/3 of that in 2026. Last topic I wanted to comment on is our separation for Select Medical and how that is progressing. We're about 8 months into the 2-year project, and all teams are doing a great job to set us up for complete separation by November 2026. I credit both Concentra and Select colleagues in their collaborative approach. Concentra has hired almost 50% of the staff we project we will need, and we have started reducing the amount we pay Select for the services they have historically provided. Much more work to do, but our teams estimate that we are at approximately the midpoint in this separation process from a people, contract and project standpoint. With that, I will hand it back to Matt to wrap up the call with our financial outlook update.
Matthew DiCanio: Thanks, Keith. Okay. To round out the call today with the previous comments as a general backdrop, we are raising our 2025 revenue guidance to $2.13 billion to $2.16 billion from $2.1 billion to $2.15 billion and the lower end of our adjusted EBITDA range to $420 million from $415 million. The result is a new 2025 adjusted EBITDA range of $420 million to $430 million. And we remain on target for $80 million to $90 million of CapEx, which includes significant onetime Nova spend and a 3.5x leverage ratio by year-end. Furthermore, we are on track for our leverage ratio to be below 3x by the end of 2026. To wrap it up, I'd like to reiterate the takeaways we'd like investors to leave with. Solid organic visit growth this quarter, another strong rate quarter with a good early outlook on rate for next year, raised guidance, no major reimbursement risk, stable labor trends, positive momentum with strategic M&A integration efforts, tremendous white space available to us across all our service lines, a clear path to continued delevering with very strong cash flow and continued solid EBITDA margins. With our unique reimbursement model and direct-to-employer relationships, we view ourselves as a B2B business services provider and a differentiated investment opportunity versus other healthcare services companies today. That concludes our prepared remarks. We thank everyone for the time today. We'd like to turn it back to the operator to open the call for questions.
Operator: [Operator Instructions] Our first question is coming from Benjamin Rossi with JPMorgan.
Benjamin Rossi: For the 2025 guidance update, could you just walk me through what's being contemplated in your changes to revenue and adjusted EBITDA from M&A contribution or aggregate improvements to either your core volumes or pricing across segments? And then just on cadence, I know last year, you had some weather-related drag in 3Q. Are there any other year-over-year dynamics to consider for incremental M&A spend within this guide for the back half of the year?
Matthew DiCanio: Sure. Ben, thanks for the question. I'll take the first part and then we can get to the second part after that. As far as the guidance, we thought it was appropriate to raise guidance. We obviously had a strong quarter on both revenue and EBITDA. We had previously given guidance a few months back that included the M&A. So all of that's factored in. And really, the way we're thinking about guidance is pretty similar performance to what we've seen year-to-date. And obviously, we'll have the incremental Nova and Pivot performance that we didn't have before those deals closed earlier this year. So pretty much run rate consistent performance through the remainder of this year. The second part of your question was around some weather. There was some weather last year, and it was primarily July that we had called out previously. So that will be a factor in Q3, but there's no other material events that we want to point out for the remainder of the year.
Benjamin Rossi: Got it. Okay. And I guess just as a follow-up, on the onsite total clinic count, regarding your onsite health clinics, can you just help me bridge to that 406 reported centers following the POI acquisition? I just recall when you gave us the initial overview of the acquisition back in April, you described the combined entity being around 360 centers all in with about $120 million in combined revenue. Is that still -- is that revenue figure still applicable for 2025 under the combined setup?
Matthew DiCanio: Yes. No change to the revenue, a slight update to the count of onsites. There are 240 total onsites. And the update there, I think we had previously said 200 plus, but there's a slight difference in how we account for them versus how Pivot had accounted for them. So post-acquisition, we updated that to about 240 onsites that were acquired.
Operator: Our next question is coming from Justin Bowers with Deutsche Bank.
Justin Bowers: So one question for each of the main segments. Nice to see the workers' comp accelerate into 2Q. So now that you've had a chance to sort of do the look back, anything to explain sort of the softer trend in 1Q? And then with respect to the guide, does the guide accommodate sort of like flattish to 3% same-store workers' comp visits? Or just help us think about the guide on workers' comp. And then I'll follow up with employer services.
William Newton: Yes, Justin, this is Keith. Yes, I think -- and we've mentioned it that the quarters can vary a little bit for a lot of reasons. I don't really think there's a whole lot to the first quarter as far as the softness. There's a lot of dynamics going on in the world today that can, I think, impact us here and there. Employers seem to have been in a somewhat stable wait and see at times. But I think it's the comps compared to last year, what was happening then versus this year. We've just continued to put our heads down, continue to do the things we're doing. And it's -- I think the fruits of our labor are starting to bear as a result of that. I don't know if you have any comments.
Matthew DiCanio: Yes. And I'll just add to that. I think the second part of your question was the remainder of the year. Just to add on to what Keith said, Q1 of 2024 was the toughest comp. For this year, Q2 of '24 as a comparison was kind of middle of the road, so versus this quarter. And what we're projecting in our guidance is really closer to an average of our Q1 and Q2 numbers for the remainder of the year.
Justin Bowers: That's helpful. And then just on employer services, right? I mean, Keith, you talked about this in the prepared remarks. There is some noise around the economy, but you're seeing it sounds like trends are pretty stable. So is that -- do you think the performance there for you guys is more reflective of market or individual initiatives or sort of a mix of both there?
William Newton: I would put it as a mix of both. I mean there's a lot of things that we're doing as far as from different levers from account management, sales activities, and those type of things as far as penetrating further, reevaluating some of the organizational structure of the sales and how we're approaching things, both from the account management side and penetrating the employers and also incremental new business. It seems that employers are still somewhat in a wait and see when all the numbers and indicators that come out, that seems to tell us that. We're hopeful that as we progress further down through the year as some of the -- there's better clarity relative to what's going to happen in the future, whether it's tariffs, whether it's all the other things happening right now that maybe employers start to become a little more activity-wise from a hiring standpoint and then we start to pick up the benefit of that. I don't think we're really picking up the benefit of anything there other than just a stable workforce right now and just the activities that we're deploying.
Operator: Our next question is coming from Jamie Perse with Goldman Sachs.
Jamie Perse: So you've spoken a lot about the volume acceleration that you saw in the second quarter. As we think about the back half of the year, is the right way to think about volume growth for both of the businesses more like what you saw in the second quarter or more like what you saw on a year-to-date basis? Just trying to put a finer point on volume expectations as you move through the back half of the year. And then just to push on this macro topic for a second. Pretty clear you are not seeing anything yet. You said that several times. Are you factoring anything into the guidance or any cushion broadly into the guidance if there were more of a slowdown in hiring trends?
Matthew DiCanio: Yes. Jamie, it's Matt. So just to reiterate on the back half of the year, the way we're thinking about it is closer to the year-to-date performance. We have a little bit soft Q1, obviously, a stronger Q2. So I think it's better to look at more of the average or the year-to-date numbers as we move through the rest of this year. We are not factoring in significant changes to our visit volumes on the upside or downside through the remainder of this year. But we're coming off a strong Q2. And based on my comments on how we're thinking about the back half of the year, closer to the year-to-date averages, I think there's -- hopefully, that gives you some thoughts for the rest of the year.
Jamie Perse: Yes, that's helpful. And then just on the P&L, can you spend a minute talking through some of the onetime items that were still included in the adjusted EBITDA? You mentioned some in cost of service. Just trying to better understand the margin progression for gross and operating margin in the second quarter, excluding some of these onetime items and if that margin progression should continue for the balance of the year?
Matthew DiCanio: Yes, sure. I could hit that. So there's a few things going on. So I'll walk through one at a time. Cost of services, we were better versus prior year from a percentage of revenue, and it was primarily staffing efficiencies. We would have been even better if it wasn't for some prior year favorable reversals that happened in '24. And then also the Nova start-up transition costs. There were some costs related to our system integration efforts that were over a 2-, 3-month period. Some of those were adjusted out, but some of them were more normal kind of front-loaded start-up costs for the business that were not adjusted out. So those burdened cost of services. So it would have -- those -- we expect those will go away now that we've completed the transition efforts at the end of July. So August moving forward, those expenses should go away. And that would have made cost of services even better than it was versus prior year. From a G&A standpoint, it was really 2 things. It was the Nova and Pivot synergies that had not been fully realized or the full impact of those synergies. We closed the Nova transaction on March 1. We closed the Pivot transaction on June 1. And there was a period of time before synergies and actions were taken, and there's still more synergies to be had. So we -- and we basically acquired that G&A and we're not able to fully synergize out in the first quarter post transaction, but we expect that to flow through in the coming months and coming quarters. And then obviously, we also had some planned and expected public company and separation costs that are included in G&A that were not there in the prior year when we were not a public company. So then when you factor in both of those and look at our EBITDA margin, which was 40 basis points lower than last year, our view is factoring those in that we would have been flat or potentially even higher than prior year, and that's including the fact that we're now a public company and separating from Select Medical. Hopefully, that helps.
Jamie Perse: Yes, it does.
Operator: Our next question is coming from Ben Hendrix with RBC Capital Markets.
Benjamin Hendrix: I just wanted to follow up on a comment Keith made when discussing the employment and jobs macro data. I appreciate that it's -- your platform has been very stable, amid some changing numbers that we've heard. But you also, I think, mentioned that you saw some mix dynamics in your underlying business, perhaps with industries or customers. I was wondering if you could expand on that and where you're kind of seeing a shift and if that's in any way could in the future, create headwinds or an anticipated dynamics?
William Newton: Thanks, Ben. Actually, I think in our prepared remarks, we said we have not seen shifts within the diversification of the industries. There's no one industry that's more than 9% or 10% of our business, and they've all -- and there are several that fall kind of in that 8% range, whether it's manufacturing, healthcare, services, distribution, all of those. And we really haven't seen much of a shift in any of that. So it's been fairly stable. And I think what we've seen really from an employment standpoint, as everybody knows, is relatively slow from a hiring perspective out there. It's still, I think, a wait and see. Let's get better clarity on what's going to happen relative to how employers. But fortunately, what they've done is kept a stable workforce. We haven't seen the layoffs that historically would start to drive a recessionary type situation. So that's why I believe our volumes have stayed relatively stable. The diversification amongst the employers is relatively stable. So really not seeing much of any changes with the mix of what's walking into our centers.
Matthew DiCanio: Yes. And Ben, I would just add to a lot of discussion around the short-term, but we're also really excited about the long term. Every day, you hear additional proposed investment back in the United States with all the reshoring efforts that are going across the country. So every time we see an update like that, it's exciting for our business, both our center business and our onsite and telemedicine segments.
Benjamin Hendrix: Great. And just kind of to wrap up some of the kind of the cost discussion. I was just wondering if the -- when you take into account the full synergies of Nova, the G&A rationalization you mentioned at Pivot and then the full transition from Select, maybe it's an exit rate for 2026, but how are you thinking about kind of a run rate G&A and cost of service margin going forward?
Matthew DiCanio: Yes, sure. So obviously, a lot of things going on, as I described before. But what I think we would point to right now is exiting '25, if you just look at the midpoint of our EBITDA and revenue guidance, that implied margin is pretty similar to what we had last year. And we're taking on 2 major acquisitions and separating from our parent company. So I think that speaks for itself. And then we'll give more thoughts on '26 in subsequent quarters.
Operator: Our next question is coming from Joanna Gajuk with Bank of America.
Joanna Gajuk: So maybe first, the onsite segment, it's relatively small, but excluding Pivot, the revenue grew like 10%. So is that the organic growth we should be looking at for the segment? Or there's some de novos in there that's driving that fast growth?
William Newton: On the onsites, if I understood what you were saying, excluding Pivot, should you anticipate -- yes, with the deployment of the advanced primary care product that we've talked about in the past as an additional service within our onsites. We're hoping it's going to start to ramp our core growth rate on our onsites at a faster pace than what we've historically seen when just focused on occupational health. And the early returns we are seeing, we are starting to win business that historically we really did not go out and bid on just because of the type of service it was. So we're very bullish on what we think our onsite is going to be doing from a core standpoint outside the potential for M&A activity. There's a lot of activity in that sector right now. But as it relates to what we're doing just from a core deliverance of the services, with the addition of advanced primary care, we're starting to win some business that historically we did not win. So I would anticipate a better growth rate than historically what we've seen over the last few years from a core.
Joanna Gajuk: Okay. And a follow-up. So if I got it right, when you were talking about the second half, right, so like employer services volumes grew on average, I guess, 1.5% in first half and workers' comp also. So sort of like you're guiding us to assume similar growth in the second half. But is it sort of like a fair assumption for, I guess, long-term organic growth for these businesses when it comes to volumes?
Matthew DiCanio: Yes. I would reiterate what we've said in the past about our growth algorithm and how we think about volumes in the low single-digit range, rate in the plus or minus 3% approximately over a long period of time. And then our smaller core M&A and de novo efforts of 1% to 2% per year. So that's really how we're thinking about it. Q1, as just to mention again, a little soft. Q2, obviously better. We're looking at in between those 2 numbers.
William Newton: Yes. I think once we start seeing quit rates start to increase, job openings start to increase, hiring starting to increase, then certainly we'll start to tweak up from an employment services growth rate.
Operator: Our next question is coming from Stephen Baxter with Wells Fargo.
Stephen Baxter: Just wanted to ask about the guidance revision. It is kind of a small difference, but you're increasing the revenue by more than you're increasing the EBITDA on a percentage basis. I just wanted to know if there's anything to kind of note there. Obviously, you called out sort of a lot of discrete cost items in the second quarter, but I wasn't sure if those cost items were just to kind of aid us in the comparisons or whether they were actually coming in maybe a little bit above what you might have expected? And then I have a quick follow-up, too.
Matthew DiCanio: No. We saw some of the costs from the transition efforts in maybe the tail end of May, but mostly in June, and we expect those same similar numbers in July because we were converting the same number of centers in July and then potentially into early August, but then we expect those costs to go away. So just being mindful of what we've seen over the last 2, 3 months as we went through a pretty massive effort to put our systems and signage in and change our workflows at all of those 67 centers. We're really proud of the work the teams have done and excited that, that's behind us and looking forward to the remainder of the year.
William Newton: Yes. And I'll just add, there's a lot of dynamics in play from the cost perspective right now relative to the synergies being executed on from Nova perspective, the synergies being executed on from a Pivot perspective, the timing of separation cost and adding people and TSAs going down. So a lot of moving parts to that. So we just wanted to be conservative with our approach to how we gave guidance from an EBITDA standpoint at this point in time. And if we get better visibility and clarity as we go through Q3, we'll continue to sharpen the pencil on that.
Stephen Baxter: Got it. Okay. And then I appreciate the color. I guess I didn't realize that you have some linkages in some of your states to the doc fix. If the doc fix gets done as part of closer to like year-end spending packages related to 2015, do you expect that you would see a true-up in this year's results? Or I guess, how would you expect that to play out if something did ultimately get done for this year?
William Newton: I would not expect anything. Most of the states don't necessarily adopt it whenever these things happen, they're on their own timing. So it's not like it's -- if something like this were to happen, we're going to immediately see it. So I would anticipate 2026. And as we get further into this year, we'll talk more about it and see it. But most of the time, states are going to implement their fee schedules. The majority of them, if there's any changes they're going to make for whatever reason, I'd say the majority of them are probably January of '26 when they do it. Others later in the year also, but they're all on their own schedules relative to when they do it.
Stephen Baxter: Got it. Okay. And then I guess one thing we've kind of observed at least with regards to the onsite opportunity is we've had a couple of years now of this really high cost trends within the employer group business that all the managed care companies have discussed. I guess how much do you feel like that's starting to influence the conversations that you have? And do you think that's really been a material driver of maybe increased interest in the model versus what you might have seen going back a couple of years when things are a little bit more stable?
William Newton: Yes. I certainly -- as we all are reading, it's anticipated that most companies are facing some pretty big employee benefits costs as we go into 2026. So we're certainly having those conversations more and more with employers. But I think more so because we now have a product that's competitive with those employer -- with those onsite companies that kind of focused on the commercial side or the group health side with these employers. Again, historically, our focus from an onsite perspective had been occupational health. So we weren't necessarily having these type of conversations with employers because we were dealing more with safety and risk versus HR and benefits. Now we're -- we have a seat at the table really with both sides of an employer's house relative to benefits and safety and risk. And certainly, as I mentioned earlier, we're winning some deals now relative to this, where we're basically providing advanced primary care services to that employer and their employee base at the work site where historically, we were not doing that.
Operator: Our next question is coming from Ann Hynes with Mizuho.
Ann Hynes: In your prepared remarks, you made a comment that labor dynamics is not an issue for this business model. Can you remind us why that is? And then secondly, I know you have a leverage target goal of 3x by the end of 2026. How do you balance that with the M&A potential and opportunity?
William Newton: Labor dynamics, when you look at our model, typically, we've got doctors, physical therapists, and the individuals that are supporting those clinicians are medical assistants. So we don't have RNs, LVNs, where a lot of the labor pressures that health systems faced were with that type of discipline. So historically, there's more of a base to draw from a medical assistant standpoint, hourly individuals. So historically, we did not feel the same pressures that the health systems faced over the last few years from that perspective. So that's really our model. And our model is based on visits per day per FTE within a center, those type metrics. So we're able to lever up, lever down based on volumes for the most part and adjust accordingly. And so we -- that's pretty much kind of how we have managed this business over the years.
Matthew DiCanio: I can take the second question. Ann, on the leverage question, you said. So we've stated that we're targeting 3.5x by year-end and sub-3x by the end of next year. And really, we feel good about where we are because we're still working through the Nova and Pivot integrations. We're still working through call it, the second half of our select separation efforts. Our teams are very focused on executing on those successfully, and we're going to naturally delever, especially in Q4 with the strongest cash flow quarter we have. Then looking at '26, we'll have a lot of those 3 main work streams behind us for the most part. We'll continue to look at M&A. Our leverage targets and strategy are not impacted by our core de novos and smaller M&A. We'll continue doing that as we delever. And I think at some point next year, we'll continue to look at more sizable M&A efforts. But for right now, we are very focused on executing on what's in front of us.
Operator: Ladies and gentlemen, we appear to have reached the end of our question-and-answer session. So I would like to hand the call back over to Mr. Newton for any closing remarks.
William Newton: No, I just want to thank everybody for joining us today, and appreciate it. Thank you very much.
Operator: Thank you, ladies and gentlemen. This does conclude today's call, and you may disconnect your lines at this time. We hope you have a wonderful day, and we thank you for your participation.